Operator: Good day and a welcome to the first quarter 2008 earnings release conference call for Hubbell Inc. Today's call is being recorded. Now for opening remarks and introductions, I would like to turn the call over to Mr. David Nord, Senior Vice President and Chief Financial Officer with Hubbell Inc. Please go ahead sir.
David G. Nord - Senior Vice President and Chief Financial Officer: Thank you Natasha and good morning to all of you. We released our first quarter earnings this morning and that release is available to you from a number of sources. Easiest way is to go to Hubbell website at hubbell.com and access the complete release by clicking on the investor information tab at the top and then financial release is on the drop-down menu. It's also available from the usual wire services. This conference call is simultaneously being webcast from the Hubbell website. Audio replays of the conference calls are available in three ways. First, you can have a telephone replay of the call starting two hours after its conclusion and that replay will be available for the next week. To access the telephone replay, dial 719-457-0820 and enter the passcode, which has 9128475. You may also hear the replay on the Hubbell website again from the Investor Relations tab and the audio archives in the drop-down or you can have this audio as a podcast by downloading it from the Hubbell website. Let me refer everyone listening to the call today and those who hear replay to the paragraph on our press release regarding forward-looking statements. That release and this call may contain some expectations based on some assumptions in the future and Hubbell's performance in the future particularly regarding our earnings. Clearly these comments are forward-looking. We also may make some comments here today during the call or answer questions which may include forward-looking statements. All of these involve inherent assumptions with known and unknown risks, and other factors that can cause our actual and future results to differ from what we may discuss or project here today. So please note that paragraph in the press release, I would like to consider incorporate it into the call here this morning by reference. With that, I'll turn it over to Tim Powers for some opening comments.
Timothy H. Powers - Chairman of the Board, President and Chief Executive Officer: Thanks Dave. Good morning everyone and thanks for joining us. We'll follow the regular format where I'll give you my perspective on our first quarter results and the markets we serve, turn it over to Dave who will provide more of the details and then come back with some thoughts on the rest of the year. Before I do go, I would like to take this opportunity to thank Tom Conlin for his many years of service to Hubbell. Most of you know Tom who just last month informed me of his desire to retire earlier than anticipated. Tom served the Investor Relations function with distinction from more than 20 years and he will be missed. I thank him for his many contributions and wish him well in his retirement. David Nord will handle the day-to-day Investor Relations duties, while we complete the process of evaluating potential successors for Tom both internal and external. Thanks again, Tom. Turning to the first quarter results, I am pleased with our performance to start the year, particularly the continuing improvement in our operating profit margin, up nearly two points over the first quarter of last year and nearly a point better than Q4 2007. With sales of $627.9 million, this resulted in net income of $48.4 million, up 16%. Despite relatively flat sales due to weaknesses in certain of our markets particularly residential, our strong profit performance reflects continued execution in the three areas of focus; price, cost and productivity. Pricing continued to be a benefit although as expected at a lower level than last year. To date, it has been sufficient to effectively offset the commodity cost price equation. However, cost headwinds will provide more challenge as the year progresses and I will talk more about that later. Productivity gains from the investments in our initiatives over the last few years are beginning to gain traction and we'll continue to grow an importance to the margin expansion agenda we pursue. The economic environment while generally consistent with our expectations going into the year is nonetheless a challenge. Continuing weakness in the housing market and the evolving credit crisis have put a damper on the U.S. economy, particularly the construction industry. International and U.S. industrial maintenance and repair markets are experiencing early signs of slowing and the C&I lighting fixture business has been weaker than expected with the exception of fluorescent products. For the power business, growth in transmission products in international sales have been offset by slower demand for distribution voltage product sales and are being hampered by the residential market slump. Before I turn it over to Dave, let me comment on one other matter that impacts our reported results. At the beginning of this year, I realigned our internal operating organization, combining the electrical products and industrial technology businesses into one operating segment under the direction of Gary Amato. The combined operations are now referred to as the electrical products business and is reported as part of our electrical reporting segment. This change in internal reporting is required by the accounting rules for segments has resulted the change in the internal organization. So with that, I will turn it over to Dave for more details on the first quarter and then come back to address the reminder of the year from a market and a Hubbell perspective. Dave?
David G. Nord - Senior Vice President and Chief Financial Officer: Thanks, Tim. Let me go through some highlights of the quarter, some of the numbers and a little bit of color behind it. First on the P&L, we have sales of $627.9 million, up slightly from last year's $625.7 million. Weaker sales principally in our residential markets continued but those were more than offset by acquisitions and selling price increase. Acquisitions, late last year and the one that closed early this year, as well as the selling price increases added approximately 3% and 2% respectively to our top line growth. Gross profit margin, 29.8% up nicely from the 27.6% last year, selling and administrative cost as a percent of sales, 17.8% compared to 17.4% last year, and some of that increases is attributable to the lower volume as well as the impact of acquisitions and increased advertising. Net interest expense of $4.6 million, a little higher than last year's $4.1 million due to higher average borrowings used for both acquisitions and share repurchases. Our effective tax rate as we talked about in our guidance for the year with some headwind in the quarter consistent with our full year 30.5%, up from last year's first quarter of 29.7%. So while that results a net income of $48.4 million, which is up $6.7 million or 16% from last year, our diluted share account down 3.4 million shares as a result of our share repurchase program from last year and this year to $57 million shares and that results in our earnings per diluted share of $0.85, up 23% from the $0.69 reported in last year's first quarter. On the balance sheet, our cash includes payables of $8.1 million offset by an increase in receivables of $29.3 million, although DSOs, a lot of those sales came in the later part of the quarter. In fact, our DSOs are four days better than last year. Inventory up slightly, a little worse than last year, but there is some impact from acquisitions in there. So trade working capital was a net use of cash, a little higher than last year. Trade working capital as a percent of sales in the first quarter improved to 21.4% compared to 21.6% last year and net debt of $308.2 million compared to $119.4 million at the end of 2007. So our debt-to-cap in the first quarter 30% compared to 18% at year-end. Cash flow from operations of $32.4 million, down slightly from last year's first quarter has some higher working capital requirements in the first quarter of this year compared to last year, partially offset by lower pension contribution and of course the higher earnings. Our CapEx in the quarter is down by $8.8 million to $11.9 million, primarily due to the completion of the lighting headquarters in the first quarter of last year and share repurchase in a quarter was $92.2 million for the repurchase of 1.9 million shares. We turn now to the segments. First on the Electrical segment, sales of $470.3 million, up $8.5 million or 2% compared to last year's first quarter. Operating income of $50 million, up $11.3 million or 29% higher than last year resulting in a margin of 10.6%, up 220 basis points from the first quarter of 2007 due to price realization, improved productivity, and the favorable impact of the acquisition of Kurt Versen earlier this year. At some of the businesses within the Electrical segment, the wiring products, volume was essentially flat with profitability negatively impacted by the lower unit volume and higher commodity cost, but this was partially offset by productivity. On the Lighting side, overall sales were down slightly due to the lower residential volume, which was off just over 20% and that's largely offset by the acquisition of Kurt Versen and some selling price increases. The operating profit margins increased due to the selling price increases, the favorable contribution from Kurt Versen and productivity improvements. These increases of course were partially offset by the lower margins as you know, the residential business has... historically continues to have better than average margins within the lighting business. And on the Electrical Product side, good sales growth up over 7% due to selling price increases, a minimal amount of foreign currency translation, and continued good demand on the harsh and hazardous and high voltage products, and profitability continued to improve largely due to the higher sales, productivity gains and some profitable product mix. On the Power segment side, sales were $157.6 million, which is down $6.3 million or 4% from last year's first quarter. Sales were down year-over-year for a couple of reasons. One, year-over-year storm-related orders if you recall, we had some very strong volume in the first quarter of last year from storms… some winter storms. We also had some working off some of the backlog that had built up in the latter part of 2006 and then, there was also... we also experienced some very soft market conditions early in the quarter, although the order rates improved very nicely as the quarter progressed and in fact we, as demonstrated by effect, we have a backlog up nearly $7 million from the end of the year in the Power segment. Despite the lower volumes, op was $25.3 million, up 100,000 from last year. Within the segment, we have the PCORE acquisition impact completed in the fourth quarter of last year. That contributed about 5% of sales and modestly accretive to earnings and also contributing to profitability where selling price increases productivity and some favorability in the product mix in the segment. So with that, I'll turn it back to Tim for some comments on as we go forward.
Timothy H. Powers - Chairman of the Board, President and Chief Executive Officer: Thanks, Dave. Now, let's turn to the outlook for the balance of 2008. Looking at the markets overall, our plan for the year was based on a slowing U.S. economy with the rate of the slowdown still uncertain. Our largest served market, non-residential construction is forecasted to remain modestly positive for the remainder of 2008. We think [ph], put in place to be up 0% to 2%. Industrial production and MRO spending growth has slowed but are expected to remain positive for the rest of the year. Utility spending will continue to expand but much of it continuing to be toward transmission versus distribution. I think the distribution will be up to two to three points. And as expected, the residential markets will continue to decline at a rate comparable to 2007 and more rapidly than many had projected with the rate of decline flattening as we exit the year. So what does this mean for Hubbell? At this point, we continue to see the full-year 2008 increasing at 4% to 6% above 2007. Although with the slow start to the year and the impact of commodity cost-driven price increases, potentially having some dampening effect on demand, sales may be closer to the low end of the range and with our continuing focus on price realization, productivity and cost containment we continued to expect our full-year margins will improve 100 basis points over 2007 levels. And this results in our 2008 earnings per share expectation in the range of $3.70 to $3.90. So to conclude, our performance in the first quarter gives us confidence in our ability to continue to improve our margins despite weak markets. And we are carefully watching for any indications of further market weakness so as to be able to respond in an orderly fashion. Our focus and execution on our priorities continues to be key. We believe that our efforts will make 2008 another year of growth in sales and most importantly earnings for Hubbell. With that, I will turn it back to Dave to open the call to questions.
David G. Nord - Senior Vice President and Chief Financial Officer: Okay, Tasha, I will turn it over to you to open it up to the question-and-answer session. Question and Answer
Operator: Thank you. [Operator Instructions]. We'll take our first question from Robert Cornell with Lehman Brothers. Please go ahead.
Robert Cornell - Lehman Brothers: Hi. Good morning, everybody.
David G. Nord - Senior Vice President and Chief Financial Officer: Good morning, Rob.
Robert Cornell - Lehman Brothers: I was interested in the comment you just made about the improvement in orders as you went through the quarter in power, could you just maybe expand on that point, please?
Timothy H. Powers - Chairman of the Board, President and Chief Executive Officer: We started the year with kind of a weak opening to the year and the order rate per day increased throughout the quarter and our backlogs grew $7 million by the end of the quarter. And...
Robert Cornell - Lehman Brothers: Are these blanket contracts these utilities letting or what type of order you're seeing here?
Timothy H. Powers - Chairman of the Board, President and Chief Executive Officer: Well, Bob there's always a combination of discrete orders and releases against blankets, but I believe utilities themselves just got off to a slow start, they may have been watching inventories. But I don't think it's really going to affect our power business for the year. We're pretty comfortable that it's going to be up mid-single digits and we're looking for some small margin improvement on it. And the orders have continued into the second quarter at a strong rate. So we are pretty comfortable where we are.
Robert Cornell - Lehman Brothers: Yes, I guess the other comment you made was in lighting, you started to just talk about some of this... some of the evolving trends in non-res and some weakness in C&I, maybe you could expand on that point too?
Timothy H. Powers - Chairman of the Board, President and Chief Executive Officer: Sure. Like everyone is reporting, fluorescent continues to be the technology of the day and the retrofits and energy upgrades are becoming an increasingly important part of the business and this type of lighting is becoming a substitute for high intensity discharge, HID lighting. So we're seeing a growth in fluorescent and some softness in some of the other types of lighting.
Robert Cornell - Lehman Brothers: Hey, just a general comment. I'll give up the phone here. I mean, it seems like the company is pushing price and margins at the expense of volume. I mean, is that a way… right way to look at it, may be you could expand on that point?
Timothy H. Powers - Chairman of the Board, President and Chief Executive Officer: I… not consciously, certainly we have a focus on trying to improve our profit margins. But I don't think there is any conscious effort to do anything but get to the… as higher top line as we possibly can generate.
Robert Cornell - Lehman Brothers: Okay. Thanks very much.
Timothy H. Powers - Chairman of the Board, President and Chief Executive Officer: Sure.
Operator: We'll take our next question from Christopher Glynn from Oppenheimer. Please go ahead.
Christopher Glynn - Oppenheimer: Thanks. Good morning.
David G. Nord - Senior Vice President and Chief Financial Officer: Good morning, Chris.
Christopher Glynn - Oppenheimer: Just a little on the top line guidance 4% to 6% I think, had pretty good detail on the Power System segment but that would imply some nice acceleration in the Electrical too relative to the first quarter. Just wondering where that might come from?
David G. Nord - Senior Vice President and Chief Financial Officer: Actually, we think each one of the business groupings in the Electrical segment will experience growth with the exception of residential lighting of course and residential lighting is expected to decline more than 20% in line with housing starts. So, actually housing starts were expected to decline more like 30% but because not all of our residential businesses directly tied to new housing starts, some of it's in remodel and renovation those markets haven't declined at the same rate. But we believe that our wiring device business, our industrial business, our harsh and hazardous business and our C&I lighting business will all show growth in the mid-single, mid-to-upper single digits.
Christopher Glynn - Oppenheimer: Yes. What gets better from the first quarter though? Could you just elaborate on the pathway to that, because collectively the mid-single for those groupings, wasn't apparent in the first quarter number?
David G. Nord - Senior Vice President and Chief Financial Officer: We were comfortable that we're going to continue to see in the harsh and hazardous area a double-digit growth in sales. It's not as... not a huge part of our business, but it's 10% of the total sales of the company. We think that our industrial business will be high-single digit growth as it’s shown when you include 2% of unit growth with price. We think that our wiring device business will continue to show growth in our new products that it will be at a rate of growth above the market in general and that our C&I lighting business like others will continue to grow as our fluorescent business stays at high levels because of the retrofit and upgrades.
Christopher Glynn - Oppenheimer: Okay. And then just in breaking out the top line for the different segments you get the price for Power Systems if possible and then in Electrical, just breaking out the price, acquisitions, and currency?
David G. Nord - Senior Vice President and Chief Financial Officer: Chris, the price overall was about 1.5, within Power it was one point so the Electrical side had a little more than 1.5 on price. Within Electrical, you also had about two points from the acquisition.
Christopher Glynn - Oppenheimer: Okay.
David G. Nord - Senior Vice President and Chief Financial Officer: And the rest is the volume.
Christopher Glynn - Oppenheimer: Got you. Okay. Thanks very much.
David G. Nord - Senior Vice President and Chief Financial Officer: Okay.
Operator: Thank you. We'll take our next question from Jeff Hecht [ph] from Stifel Nicolaus. Please go ahead.
Unidentified Analyst: Yes. Hi, Tim.
Timothy H. Powers - Chairman of the Board, President and Chief Executive Officer: Good morning.
David G. Nord - Senior Vice President and Chief Financial Officer: Hi Jeff.
Unidentified Analyst: A couple of questions. On the Power business, where the transmission remain strong or distribution weak, what does this doing to your inventories and what you think with the utilities, is there a backup and may be a buildup of inventories at low voltage distribution that’s impacting your business as you shift into other products?
Timothy H. Powers - Chairman of the Board, President and Chief Executive Officer: I think we had some of that issue in the tail end of last year. The last couple of quarters as business kind of slowed a little bit and distributors had blocked more than they need and maybe some utilities, I think that's dissipated by now. Most of that is dissipated by now. So I'm not really expecting the channel to have an overly large stock nor do we. The transmission business by its nature tends to be more make to order products. So as we get the orders for it, we build them and ship them. So it isn't a big portion. There is definitely some transmission products in stock but more of them are unique and made to order.
Unidentified Analyst: Hi. You have stopped reporting the Industrial Technology. buy can you provide us a little bit more on the growth within those former segments or you not going to make more than general commentary any more?
Timothy H. Powers - Chairman of the Board, President and Chief Executive Officer: We will provide the elements within that the way we have in the past in general terms. But you could... you just for purposes of calculating this you take the Industrial Technology group and put it into the Electrical segment.
Unidentified Analyst: Right but you didn't report it, can you give us an idea of sales growth and profitability there, anything on that order.
Timothy H. Powers - Chairman of the Board, President and Chief Executive Officer: Well, to the extent... one of the reasons for combining it is, our GAI-Tronics business, which is industrial communications in the harsh and hazardous environment has been grouped with our other harsh and hazardous businesses, for purposes of linking the channel to market and our sales representation. And so that business really has been incurring the same kind of growth as our harsh and hazardous business more than 10%. So, it's a very strong business as is that whole group of businesses. The rest of them in there are showing the kinds of growth that industrial... our rest of our industrial businesses have, which is kind of mid-single digits.
Unidentified Analyst: In the industrial tech that you are not reporting is still showing high-teens type margins.
Timothy H. Powers - Chairman of the Board, President and Chief Executive Officer: Yes.
Unidentified Analyst: Okay. Thank you.
Timothy H. Powers - Chairman of the Board, President and Chief Executive Officer: Sure.
Operator: We'll take our next question from Levon Von Reden [ph] from Hockey Capital. Please go ahead.
Unidentified Analyst: Yes. I want to know, in terms of your overall exposure to the non-res business, what percentage of your sales kind of go into that market?
Timothy H. Powers - Chairman of the Board, President and Chief Executive Officer: 40%.
Unidentified Analyst: And in the next largest bucket would be?
Timothy H. Powers - Chairman of the Board, President and Chief Executive Officer: Power at 25%.
Unidentified Analyst: And in the Electrical segment, any sense for, I know you listed out or talked about some of the things like wire, electrical, etcetera, any sense for what percentage of the sales come from each of those various groups that you kind of talked about, I know you talked about harsh and hazardous being 10% of total sales?
Timothy H. Powers - Chairman of the Board, President and Chief Executive Officer: Well I think to talk about in general terms, the industrial market remains positive and I would say kind of mid-single digits. The utility business we think are coupled to 3% on the distribution side, closed to double digits or at double digits on the transmission sides. So if you add that together for us, mid-single digit improvement in sales for the utility business, on the non-residential construction business you have divided where a portion of the commercial activity is actually lower than last year by between 5% and 10% in the outlook so far and some other categories of the institutional and others are improving. So definitely, the non-residential market is slowing down and if I could characterize the primary reason that would be more than anything else, money and the availability of money and the financial crisis that we know is getting worked out, but certainly we'll take a couple of more quarters before borrowing for building projects becomes returns to the normal.
Unidentified Analyst: Okay. Thank you.
Operator: [Operator Instructions]. Our next question will come from Steve Gambuzza from Longbow Research… Capital. Please go ahead.
Steven Gambuzza - Longbow Research: Good morning.
Timothy H. Powers - Chairman of the Board, President and Chief Executive Officer: Good morning.
David G. Nord - Senior Vice President and Chief Financial Officer: Good morning.
Steven Gambuzza - Longbow Research: I'd just question on your outlook for operating margin improvement over the balance of the year, you demonstrated the success and were then improving the operating margin with the current flat to down organic sales growth in the first quarter and I guess, I'm just wondering when you look out for the balance of the year, how contingent is your operating margin forecast on your sales growth, the markets soften a little bit more than you anticipated and sales becoming lower, are you able to kind of achieve your targets through internal productivity initiatives, or does lack of fixed cost absorption start to become an issue towards the lower end of your sales range?
Timothy H. Powers - Chairman of the Board, President and Chief Executive Officer: Well, I would say the biggest variable in the future of our margins has more to do with the cost price equation and the coming increases in the cost of steel and the effect of hundred and something teen dollar per barrel of oil and our ability on the timeliness to recoup that from the market. So, like all of us in the electrical business, we're staring double-digit increases in steel and we have price increases out there in the markets. So our ability, I have no doubt in our ability to recoup it. It's a question of the timing to get back those cost increases with price increases and that probably is a bigger variable than I see in the risk of revenue between now and the end of the year.
Steven Gambuzza - Longbow Research: So, it doesn't sound like unit volume, is this big an issue for you?
Timothy H. Powers - Chairman of the Board, President and Chief Executive Officer: Unit volume is flat to down and price obviously makes it higher and it took all of Hubbell together in the U.S. market and really that reflects, I think the general construction trends for this year. That’s exactly what we thought the year would be. So I don't think we see much difference at least at this point.
Steven Gambuzza - Longbow Research: So the balance of your forecast assumes kind of a continuation of kind of flat, to slightly down volume.
Timothy H. Powers - Chairman of the Board, President and Chief Executive Officer: Yes.
Steven Gambuzza - Longbow Research: Okay. All right. Thanks very much.
Timothy H. Powers - Chairman of the Board, President and Chief Executive Officer: Sure.
Operator: [Operator Instructions.] It appears that we have no further questions at this time.
Timothy H. Powers - Chairman of the Board, President and Chief Executive Officer: Well, we thank you all for listening and certainly, we are opened for questions following this conference call for further clarity. So we thank you for joining us and say goodbye.
Operator: Thank you. This concludes today's teleconference. You may now disconnect your lines and have a great day.